Operator: Welcome to the MPC Fourth Quarter 2023 Earnings Call. My name is Sheila and I will be your operator for today’s call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Kristina Kazarian. Kristina, you may begin.
Kristina Kazarian: Welcome to Marathon Petroleum’s fourth quarter 2023 earnings conference call. The slides that accompany this call can be found on our website at marathonpetroleum.com under the Investor cab. Joining me on the call today are Mike Hennigan, CEO; Maryann Mannen, President; John Quaid, CFO and other members of the executive team. We invite you to read the Safe Harbor statements on Slide 2. We will be making forward-looking statements today. Actual results could differ. Factors that cause actual results to differ are there as well as in our SEC filings. References to MPC Capital during the prepared remarks today reflects standalone MPC Capital, excluding MPLX. With that, I will turn the call over to Mike.
Mike Hennigan: Thanks, Kristina. Good morning, everyone and thank you for joining our call. First, I’d like to recognize some changes we made at our executive management level. Maryann Mannen has been appointed President of MPC. In this role, she will be responsible for our Refining & Marketing, Commercial and HES&S organizations. John Quaid, previously CFO of MPLX succeeds Maryann as CFO of MPC. In addition to these changes, Rick Hessling has been appointed Chief Commercial Officer. Rick will lead our global feedstock and clean products teams with the goal of maximizing margin capture across the entire value chain. Brian Partee has been appointed Chief Global Optimization Officer. Brian will be responsible for assessing and redefining business processes that are critical to improving our performance, including our value chain optimization efforts and determining investments needed to accelerate the delivery of results. At a high level, these organizational changes put more emphasis on advancing important value-creating initiatives, driving increased performance throughout our entire value chain and making a step change in our cash flow generation capability. Turning to our 2023 results. We are pleased to continue to deliver on our strategic commitments. Full year cash provided by operating activities was over $14 billion on a consolidated basis, reflecting our team’s strong execution. Our Refining & Marketing business delivered excellent full year results generating EBITDA of $12.74 per barrel of throughput and capture of 100%. These results reflect strong utilization of our assets and improved execution against our commercial strategy. Incremental to our Refining & Marketing results, our Midstream business posted nearly $6.2 billion of EBITDA. EBITDA for the Midstream segment grew by approximately 7% year-over-year or by approximately $400 million. We expect MPC will receive $2.2 billion of annual cash distributions supported by MPLX’s most recent 10% increase to its quarterly distribution. MPLX is strategic to MPC’s portfolio. Its current pace of cash distributions fully covers MPC’s dividend and more than half of our planned 2024 capital program. We expect MPLX to increase its cash distribution as it pursues growth opportunities further enhancing the value of this strategic relationship. We are committed to returning excess capital to shareholders. In 2023, we returned $11.6 billion through share repurchases, bringing total repurchases to over $29 billion since May of 2021. In addition, we increased MPC’s quarterly dividend by 10% in the fourth quarter. Over the past 5 years, we have grown our quarterly dividend at a compound annual growth rate of over 12%. For the full year 2023, this capital return represents a payout of 92% of our operating cash flow, excluding changes in working capital, highlighting our commitment to superior shareholder returns. Executing on our commitments, combined with a strong macro environment led to total shareholder returns of approximately 31% for MPC in 2023. Turning to our view on the refining macro environment as we head into 2024, global oil demand hit a record high in ‘23 and we see another year of record oil consumption in ‘24. The IEA is currently projecting demand growth of over 1.2 million barrels per day with their projections having been raised higher over the last 3 consecutive months. In our system, both domestically and within our export business, we are seeing steady demand year-over-year for gasoline, diesel and jet fuel. Global supply remains constrained and anticipated global capacity additions have progressed slower than expectations. Gasoline and diesel inventories remained tight globally. And as we look into ‘24, we anticipate that above-average turnaround activity globally in the first quarter as well as the transition to summer gasoline blends will be supportive of refining margins. As we look further into 2024, we believe the U.S. refining industry will experience an enhanced mid-cycle environment due to global supply demand fundamentals and its relative advantages over international sources of supply, including energy costs, feedstock acquisition costs and refinery complexity. Our capital allocation priorities remain unchanged. These include: first, sustaining capital. We remain steadfast in our commitment to safely operate our assets, protect the health and safety of our employees and support the communities in which we operate. Second, our dividend. We are committed to paying a secure, competitive and growing dividend. We intend to evaluate the dividend at least annually. Third, growth capital. We will invest capital, but be disciplined where we believe there are attractive returns, which will enhance our competitiveness and position MPC well into the future. Beyond these three objectives, we will return excess capital through share repurchases to meaningfully lower our share count. From May of ‘21 through January 2024, we reduced our total share count by approximately 45%, repurchasing approximately 300 million shares at an average price of $97. As we execute in 2024, we remain committed to share repurchases as a key component of our capital allocation priorities. MPC’s standalone 2024 capital investment plan, excluding MPLX, totals $1.25 billion. Underpinning our commitment to safety and environmental performance, sustaining capital is approximately 35% of capital spend. In Refining & Marketing, gross spending is down nearly $200 million compared to 2023, reflecting strong capital discipline. In 2024, we are focused on investments that enhance margin and reduce costs. In low carbon, we are investing in an opportunity that offers an attractive return, lowers our cost, increases reliability and reduces emissions. This morning, MPLX also announced its 2024 capital investment plan of $1.1 billion, which is anchored in the Marcellus and Permian basins. At this point, I’d like to turn the call over to Maryann.
Maryann Mannen: Thanks Mike. Solid execution of our three strategic pillars remains foundational. We believe the improvements we’ve made to our cost structure, portfolio and commercial execution have driven sustainable structural benefits, irrespective of the market environment. We will continue to build on this strong foundation to recognize value throughout our business. Our refining utilization in 2023 was 92% as we operated our portfolio to meet consumer demand. Recently, we have said we believe our average capture over longer periods of time is approaching 100%. And in 2023, our full year capture was 100%. This commitment to commercial excellence is foundational and we expect to continue to see these results. While our capture results will fluctuate based on market dynamics, we believe that the capabilities we have built over the last few years and expect to enhance further will provide a sustainable advantage. Turning to our operations. In the Gulf Coast, the Galveston Bay reformer repairs progressed as planned. We started the unit back up in mid-November and returned to full operating rates by mid-December. At our Martinez facility, we will be operating at approximately 22,000 barrels per day in the short-term. We have been working closely with the regulators to proceed with repairs to ensure safe and reliable operations. Let me move to Slide 7, which shows our capital investment plan for 2024 in a bit more detail. MPC’s investment plan, excluding MPLX, totals $1.25 billion. The plan includes $1.2 billion for Refining & Marketing segments. Our growth capital plan is approximately $825 million between traditional projects and low carbon. We are investing primarily at our large competitively advantaged facilities to enhance shareholder value and position MPC well into the future. Within traditional Refining & Marketing, $100 million is associated with a multiyear project to increase finished distillate yields at the Galveston Bay refinery. $375 million is focused on smaller projects targeted at enhancing yields at our refineries, improving energy efficiency and lowering our cost as well as investments in our branded marketing footprint. Within low carbon, approximately $330 million is allocated to a multiyear infrastructure investment at our Los Angeles refinery, which will improve energy efficiency and lower facility emissions and $20 million for smaller projects focused on emerging opportunities. Slide 8 provides an overview of the multiyear investment at our Los Angeles refinery. The Los Angeles refinery is the core asset in our West Coast value chain and is one of the most competitive refineries in the regions. This investment, once completed, is expected to further enhance its cost competitiveness by integrating and modernizing utility systems, which will improve reliability and increase energy efficiency. Additionally, a portion of this improvement addresses a new regulation mandating further reductions in emissions. This regulation applies to all Southern California refineries. The improvements are expected to be completed by the end of 2025. We expect to generate a return on our investment of approximately 20%. Turning to Slide 9. At Galveston Bay, we are investing to construct a 90,000 barrel per day high-pressure distillate hydrotreater. This project is planned to strengthen the competitiveness of the refinery through increased production of higher value finished products. Once in service, the new distillate hydrotreater will upgrade high sulfur distillate to ultra-low sulfur diesel, eliminating the need for third-party processing or sales into shrinking lower value high sulfur export market. This strategic investment ensures we provide the clean burning fuel of the world demand and further enhances the competitive position of our U.S. Gulf Coast value chain. The project is expected to be complete by year-end 2027 and generate a return of over 20%. Turning to our low carbon initiatives, we challenge ourselves to lead in sustainable energy by setting meaningful targets to reduce greenhouse gas emissions, methane emissions and fresh water intensity. Targets, which we believe we can demonstrate a tangible pathway to accomplish. In our 2024 capital outlook, we are investing to significantly lower energy intensity and emissions at Los Angeles, one of our largest refineries. Additionally, we are investing in smaller amounts of capital in early-stage developments like RNG which could significantly aid in greenhouse gas emission reductions in the future. Overall, we are taking disciplined steps to advance our goal to lower the carbon intensity of our operations and the products we manufacture, while continuing to supply a growing and evolving market by safely operating our current asset base with the objective to deliver superior cash flow. Let me turn the call over to John.
John Quaid: Thanks, Maryann. Moving to fourth quarter highlights, Slide 11 provides a summary of our financial results. This morning, we reported adjusted earnings per share of $3.98 for the fourth quarter and $23.63 for the full year. This quarter’s results were adjusted to exclude the $0.14 per share net effect of three items, a $145 million LIFO inventory charge, $47 million of net recoveries related to MPLX’s Garyville incident response, and a $92 million gain recognized by MPLX. Adjusted EBITDA was over $3.5 billion for the quarter and almost $19 billion for the year. Cash flow from operations, excluding working capital changes, was nearly $2.3 billion for the quarter and $13.9 billion for the year. During the quarter, we returned $311 million to shareholders through dividend payments and repurchased over $2.5 billion of our shares. Slide 12 shows the sequential change in adjusted EBITDA from the third quarter to fourth quarter of 2023 as well as the reconciliation between net income and adjusted EBITDA for the quarter. Adjusted EBITDA was lower sequentially by approximately $2.2 billion, driven by lower R&M margins. The tax rate for the quarter was 18%, reflecting the impacts of the MPLX structure and a discrete benefit largely related to state taxes. For 2024, we expect our tax rate to be around 21%. Moving to our segment results. Slide 13 provides an overview of our Refining & Marketing segment for the fourth quarter. Our 13 refineries ran at a 91% utilization, processing nearly 2.7 million barrels of crude per day. Sequentially, per barrel margins were lower across all regions driven by lower crack spreads. Capture for the quarter was 122%. Refining operating costs were $5.67 per barrel in the fourth quarter, higher sequentially due to higher energy cost, particularly on the West Coast as well as higher project-related expenses associated with planned turnaround activity. Slide 14 provides an overview of our Refining & Marketing margin capture of 122% for the quarter. We ran well and our commercial teams executed effectively to deliver strong results. Capture this quarter benefited from late product margin tailwinds, in particular for jet fuel as well as less of a headwind from secondary product prices. Slide 15 shows the changes in our Midstream segment adjusted EBITDA versus the third quarter of 2023. Our Midstream segment delivered strong fourth quarter results. For the full year 2023, our Midstream segment EBITDA is up 7% compared to the prior year. Our Midstream business is growing and generating strong cash flows as we advance high return growth projects anchored in the Marcellus and Permian basins. Slide 16 presents the elements of change in our consolidated cash position for the fourth quarter. Operating cash flow, excluding changes in working capital, was nearly $2.3 billion in the quarter, driven by both our Refining and Midstream businesses. Working capital was a $1.1 billion use of cash for the quarter, driven primarily by declining crude prices. Cash from ops for the quarter was also impacted by a $320 million headwind from changes in our income tax receivable, which you might usually expect to see as a working capital change. Capital expenditures and investments totaled $896 million this quarter. This includes MPLX’s acquisition of full ownership of a gathering and processing joint venture in the Delaware Basin for approximately $270 million. MPC returned $2.8 billion via share repurchases and dividends during the quarter. This represents an approximate 125% payout of the $2.3 billion of operating cash flow, excluding changes in working capital, highlighting our commitment to deliver superior shareholder returns. As of January 26, we have approximately $5.9 billion remaining under our current share repurchase authorization. And at the end of the fourth quarter, MPC had approximately $10.2 billion in consolidated cash and short-term investments, including approximately $1 billion of MPLX cash. Turning to guidance on Slide 17, we provide our first quarter outlook. We expect crude throughput volumes of almost 2.5 million barrels per day, representing utilization of 83%. Utilization is forecasted to be lower than fourth quarter levels due mainly to higher turnaround activity. Planned turnaround expense is projected to be approximately $600 million. We are executing turnarounds at 4 of our largest refineries, Galveston Bay, Garyville, Los Angeles and Robinson, all in the first quarter when margins are typically lower to minimize the financial impact of these outages. Turnaround expense for the full year is anticipated to be similar to last year at around $1.3 billion. Operating costs in the first quarter are expected to be $5.85 per barrel higher sequentially due mainly to lower throughput volumes associated with the significant planned turnaround activity. Distribution costs are expected to be approximately $1.45 billion for the quarter. Corporate costs are expected to be $185 million. And with that, let me pass it back to Mike.
Mike Hennigan: Thanks, John. We’ve delivered strong execution on our strategic commitments again this year. This includes running reliably with high utilization, structural improvements to our commercial performance, fostering a low cost culture and strengthening the competitive position of our assets. At MPLX, the partnership has continued to grow, increasing its cash flow and its cash distribution MPC. We have invested capital to grow earnings while exercising strict capital discipline. This has resulted in superior cash flow generation and supported the repurchase initiatives. Looking forward, we will continue to prioritize capital investments to ensure the safe and reliable performance of our assets, and we will also invest in projects where we believe there are attractive returns. We believe our focus on safety, environmental, I’m sorry, operational excellence and sustained commercial improvement will position us to capture this enhanced mid-cycle environment, which we expect to continue longer-term, given our advantages over marginal sources of supply and growing global demand. MPC’s Midstream segment, consisting primarily of MPLX has grown EBITDA by $1.3 billion since 2019, which is a 6% compound annual growth rate over the last 4 years. As MPLX continues to grow its free cash flow, we believe it’s in a strong position to continue to consistently grow its distributions. As a result of MPLX increase against distribution 10% of reach in the last 2 years, and MPC expects to receive $2.2 billion of cash distribution, which reflects a $400 million increase since 2020. Each 10% distribution increase is approximately $200 million of additional cash flow that MPC receives through its ownership in the partnership. In summary, this year, we generated $14 billion of cash from operations. We increased our dividend 10%, repurchased $11.6 billion of shares, resulting in a 92% payout ratio. In 2023, MPC’s total shareholder return was 31%. We believe MPC is positioned as the refinery investment of choice with the strongest through-cycle cash generation and the ability to deliver superior return to our shareholders. With that, let me turn it back over to Kristina.
Kristina Kazarian: Thanks Mike. As we open the call for your questions, as a courtesy to all participants, we ask that you limit yourself to one question and a follow-up. If time permits, we will reprompt for additional questions. Sheila, we’re ready.
Operator: Thank you. [Operator Instructions] Our first question will come from Neil Mehta with Goldman Sachs. Your line is open.
Neil Mehta: Yes. Good morning, Mike. Good morning, team. Thanks for doing this great quarter. The first question is really on Slide 14, and this is what we’re getting from investors this morning, which is the 122% system capture and that $885 million of margin uplift. And I recognize there is some sensitivities about what you can say and can’t say here. But just can you talk about what drove that strength? And how much of this feels one-timeish versus stuff we want to carry forward?
Maryann Mannen: Hey, Neil, good morning. It’s Maryann. Thanks for the question. So first and foremost, as you know, commercial performance has been and will continue to be a foundational pillar for us in terms of delivering outstanding execution and meeting the goals and objectives that Mike shared with you around delivering best through cycle cash flow throughout the cycles. In the quarter, we generated about 122% capture as we shared. Overall, as you know, we’ve been talking about our ability to continue to drive toward 100%. Over the last couple of quarters, Rick and Brian have been sharing with you some of the key elements around structural changes that we believe are sustainable, and then Mike announced this morning a couple of other changes, which we think will continue to drive our ability to identify and deliver against that foundational principles. In the quarter, we had a couple of benefits that delivered the 122%. So first of all, strong light product margins and frankly, a more favorable secondary products impact. This is not abnormal for this period of time. Having said that, we also saw stronger jet fuel premiums to diesel and the benefit of diesel blending, excuse me, of butane blending in the quarter as well. To your question, how much of this is repeatable? Obviously, some of those things are not repeatable, particularly when we look at the sharper drop in crude oil and refined product prices. We also did have the ability of having, as I shared with you, our reformer at GVR and other benefits of projects that we completed fully operating in the quarter. So let me pause there and see if that helped to answer your question at all.
Neil Mehta: That’s great, Maryann it’s a lot of good color there. The follow-up is just on Slide 17, sticking with the deck here, which is it does seem like a period of heavier turnaround in Q1, particularly in the West Coast region. Maybe talk about the decision around where you took maintenance, how that fits into the full year plan? And anything we should be thinking about as you approach this turnaround season?
Mike Hennigan: Yes, Neil, it’s Mike. Yes, I think we said in our prepared remarks that our turnaround spend this year is about the same as last year. But the way you should think about it is, as Maryann mentioned, in the first quarter, we’re pretty heavy at four of our largest facilities, our largest financial generating facility. So we’re taking advantage of the fact that margins are down in the first quarter. So we’re spending $600 million in the first quarter, which is a high number, relative to the full year. And I know we don’t traditionally give quarter-to-quarter, but I’ll just tell you that next quarter, the turnaround number drops down to like $200 million or so, somewhere in that range. So we’re being opportunistic in some regard. A lot of the activity does get planned, but at the same time, we want to take advantage of the fact that the margin environment now is constructive for us to be off-line so that when margins, we think, are going to be a lot stronger in the second quarter, we will have our four largest facilities turn around and ready to deliver results.
Neil Mehta: Thanks, Mike.
Mike Hennigan: You are welcome, Neil.
Operator: Our next question will come from Manav Gupta with UBS. Your line is open.
Manav Gupta: First of all, congrats guys. I know one of the goals was to get to 100% capture, although Mike always stays focused on EBITDA per barrel margin and free cash. I know one of the goals was to get to 100% capture. So congrats on overshooting that mark. My question here is on the two growth projects. Los Angeles. Some of the people out there are looking to exit the state given the tougher laws, you were actually going back and investing in this project. So help us understand what’s driving that? And again, on the Galveston Bay moving from upgrading high sulfur to ULSD, what kind of realization uplift could you get if you do execute this project?
Mike Hennigan: Yes, Manav, this is Mike. I’ll start. First of all, thank you for the comment on capture. And as you said, it’s not my favorite metric, but I’m a big believer in how much cash are we generating, how much cash per share we’re generating. And I want to lead in those categories is the metric that I spend the most time looking at. But, it does get some good indication, as Mary said, it’s hard just to differentiate the question Neil asked between what’s happening in the market? And what are some of the structural improvements that we’ve implemented over the last couple of years here. But anyway, thanks for the comment. As far as our capital investment, I’m hoping everybody sees a couple of things. One is, yes, we are investing in our L.A. facility. It’s an area where we believe that we can put a decent amount of investment in there and really improve the competitiveness of that facility, but we already believe it’s one of the top facilities on the West Coast. So it is an area that we want to invest in. Now that particular investment is about efficiency, reliability and lowering our costs. And to your point, being a very reliable supplier out there is an important part of the equation. The other project that we’ve announced is a margin enhancement project. And in our view, things are not going to get easier for unhydrotreated distillate into the future. And if you look at the spreads today, even today, they are pretty wide. So at the end of the day, what’s driving us the most in both of those, when we put this in the slides is we think both of these projects are north of 20% returns. And hopefully, we’re conservative on that, but we think they are very good investments and again, in two of our largest, highest financial generating facilities. So one of the themes that you’ve heard from us is we’re going to invest in projects that we feel really strong about on a return basis, but they are also enhancing in competitive positions of some of our biggest facilities. And I think you’ve heard the theme from us for a while here. It’s margin enhancement, lower cost and efficiencies. And out on the West Coast, the other driver is there is emissions reductions goals that are going to occur over time, and this project will take care of that in a large way, and that’s why we grouped it into our low-carbon area. So hopefully, that gives you a little bit more color.
Manav Gupta: Perfect. My quick follow-up here is you were looking to ramp towards the nameplate capacity at your renewable diesel project on the West Coast. If you can give us some update over there, how is that project progressing?
Maryann Mannen: Certainly, it’s Maryann. Currently, we are running at about 22,000 barrels a day versus our nameplate at 48,000. We’re going to continue to run at that level as we work with the regulators to determine what repairs need to be complete in order to be able to get to that nameplate at 48,000. As we think about that, as you know, we’ve got our JV partnership with Neste, so really, what we’re looking at is the differential for MPC of about 13,000 barrels a day. So not meaningful to the 3 million-barrel system that we run. But again, running at 22,000 overall for the facility, and we will continue to work with our regulators to determine when we can bring it to full 48,000.
Manav Gupta: Thank you so much.
Mike Hennigan: You are welcome, Manav.
Operator: Thank you. Next, we will hear from Doug Leggate with Bank of America Securities. You may proceed.
Doug Leggate: Hi, thank you. Good morning, everyone. Mike, I hate to do this. So I wonder if I could try to capture a question in a slightly different way because we, I guess have a slightly different view of this. If you look at your system as more of an LP, we see a great deal of linearity between the indicator margin and what you’re delivering. I think I agree with you. I think capture is a terrible metric to try and measure a linear program business, frankly. But what we do see, however, is that the mix of inputs seems to be changing some, which is allowing you to capture more of the margin. So my question is really that. What are you doing in your commercial business or operations that is changing the optimization of the slate that you’re running in your system? Obviously, there are a lot of moving parts around crude in the U.S. right now with TMX and a few other things. Is that a factor?
Rick Hessling: Yes. Hi, Doug, this is Rick. So I’ll take a stab at that. So we are significantly I would say every day, Doug, we are optimizing our slate. And we look at this regionally. We look at this by plant. But in the end, Doug, I think what we do better than others in the industry, is we optimize for the betterment of our total return at the end of the day. So we are not, we could suboptimize one plant for the benefit of another, and we have worked years, decades, as a matter of fact, to give ourselves optionality within our Mid-Con system. We are currently juggling optionality with TMX and our West Coast and Pacific Northwest system as well as we’ve worked on it for quite a while on the Gulf Coast. So you are onto something from a crude slate perspective. It’s constantly changing. We’re constantly pushing the norm on what we should run, what crudes we look at, what assays we look at, updating our system. So this is just an ongoing exercise that’s been happening now for several years now. And I’ve said it before, we’re unpacking everything from A to Z, Doug, we’re leaving no rock unturned in terms of capturing value. And that not only goes certainly on the crude slate side, but it goes throughout our entire value chain.
Mike Hennigan: And Doug, it’s Mike. I know it’s been a source of frustration since we don’t give a lot of detail in this area for competitive reasons. But to Rick’s point, we’ve made some changes. And to be honest with you, I’m more excited about what’s in the future for us. Brian’s new role as Head of Global Optimization for us, I think, is going to make a step change for where we’re going. So we’ve had a lot of momentum in this area. It’s showing up in the results. As we discussed, capture is not my favorite, but generating cash is. And at the end of the day, I think we have more opportunity in the whole area. If we run well and then deliver commercially, we will continue to generate cash and be a good source of return for shareholders.
Doug Leggate: LPs are a complicated beast and you guys seem to have figured it out. So thank you for the answer, guys. My follow-up is probably for, it might be for Maryann. I’m not sure. Congratulations to everyone on the new roles. But Maryann, if I look at Slide 21, you’re showing your debt maturity profile at the MPC level. Obviously, sitting with a net cash position at the MPC level, what are your thoughts on where you want your balance sheet to be as those debt maturities come due?
John Quaid: Hey, good morning, Doug, it’s John. I’ll go ahead and take that.
Doug Leggate: I wasn’t sure if you take or not. Thank you.
John Quaid: No, no, not a problem at all. And I think you kind of – were hinting at it as you were getting there. We’ve got a lot of financial flexibility right now. We’re very comfortable with the gross amount of debt that MPC has but certainly have the balance sheet to be very thoughtful about the right timing of refinancing that debt and really optimizing our cost of capital and really that cost of debt. And I think longer-term, right, we’ve laid out a target of kind of the gross debt to cap of 25% to 30%. We’re a good bit away from that, but that’s something we will continue to monitor as we look out into the future.
Doug Leggate: And John, remind me, is that consolidated for MPLX or stand-alone?
John Quaid: It’s stand-alone.
Doug Leggate: Okay, thank you.
John Quaid: In a much different position, I can probably speak to that one pretty well just given the seat I was in before, or. You’ve got a really stable company running at sub-3.5% leverage, but the cash flows there can probably support a debt-to-EBITDA ratio of 4x. Again, they have got some financial flexibility to be smart about what they are doing as well. So I think both balance sheets are in a really strong place.
Doug Leggate: Thank you very much.
Operator: Our next question comes from Paul Cheng with Scotiabank. Your line is open.
Paul Cheng: Hey, guys. Good morning.
Mike Hennigan: Good morning, Paul.
Paul Cheng: Mike, I think in the past, you have shown that you are not really interested in acquisition of refining assets. But one may argue that, I mean, given how well you are running your facility, do you think that there is a value to be added to have some additional assets to your platform so you can apply your technical know-how to even a bigger profile. And also in the Gulf Coast, you have two huge refineries. If we add additional facility, would that further diversify and reduce the operating risk, having multiple facilities and also, frankly, that will perhaps even increased commercial and optimization opportunities. So just want to see that, I mean, how you guys look at that question internally?
Mike Hennigan: Yes. Paul, first off, Dave Heppner’s group is constantly looking at the market and what assets are available I always say I never say never. But in the meantime, while Dave is working on that side of the equation, we’re also looking at the footprint we have and the assets we have. And that’s part of the reason that we came out with the announcement today. Two of our key facilities, we think we can make a meaningful change. And we’ve been more transparent than normal to try and explain to people. We think we got north of 20% return projects here on the assets that we own ourselves. So, there is always a balance call between, obviously, the assets you own, you know inside and out, whereas the ones you’re evaluating externally, there is a little bit of concern from diligence, etcetera. But I will tell you, I think people know my DNA in general. But at the same time, Dave and his team are challenging where can we make investments that are outside of our portfolio. We haven’t done a lot, as you mentioned on the refining side. But we have made some investments overcalling low carbon. We made some investments in some pretreat facilities on the low carbon side. We’ve invested in an RNG facility. So Dave and his team are looking at both refining and outside of refining. And we just constantly talk about that and decide where do we think we want to put our capital. And for today, we’re pleased to report that we think we have two pretty good projects. But the other part, let me just mention this one last thing because this is kind of important. On the slide where we talk about our capital, we say in traditional refining, we’re investing $475 million. Maryann mentioned that $100 million of that is related to the DHT project, but $375 million of that is what we don’t typically talk about on earnings calls. These are projects in all of our facilities that are higher returns, really good projects for us, but they don’t have the sexy headline about them. But if you look at it, though, $375 million out of the $475 million in traditional are these smaller high-return projects. So, the team does a nice job. Tim and his organization are constantly looking for areas where we can make margin improvement, lower cost, increase reliability. As you said, this all starts with you got to run reliably, and then you got to be smart commercially. And I think we’ve demonstrated that a little bit, and then we just try to invest capital to keep bolstering that equation. So hopefully, that gives you a little more color.
Paul Cheng: Absolutely. Can I just go back into the commercial question? In the fourth quarter, you guys definitely done well in the [indiscernible]. And if we’re looking at versus the margin capture of 100 additional 22%, is there a number that you can share how much of them is coming from the commercial side of the business that you have done really well? And that’s why that you are seeing that much better in the capture. And also that I think in the past, you’re saying that one of the maybe Holy Grail for commercial operations is that you will be able to optimize based on breakdown the [indiscernible] and optimized based on the total company. Where are we in that process? Do you think that you are already there or that you are just still stretching the surface on that process?
Mike Hennigan: Paul, I will start with the second part. As I have said, I will repeat myself a little bit, but we still think there is quite a ways to go where we can do better, and that was part of the reasoning behind the organizational change. Brian’s role as global optimization lead is going to his team is going to work with the commercial guys with our refining guys. And you heard me say we define process, find places to invest, change what we are doing today. So, I think we have made a lot of progress. People always ask what inning or I guess it’s football season, so what quarter are we in. And that’s always hard to ascertain because I think we keep peeling the onion back and seeing that we can make another step change. So, I am optimistic that we got a lot of road to go. And I think at the end of the day, our mantra is we will just keep watching our results and you will see what comes out of it. As far as the first part, it’s always hard. That’s why I am not the biggest fan of that metric. It’s always hard to differentiate some of the market factors that Maryann mentioned. Obviously, the fourth quarter, you get butane blending as one thing that enhances capture. But there is a significant, if I want to give some kudos to our team, there is a significant change in the way we are approaching the business. You heard from Rick earlier. And so I think it is additive to whatever the market has given us. And my thought is the way we have to run the company is we don’t control the margin environment, but whatever margin environment is given to us, we just got to deliver more results and generate more cash and more cash per share. So, while everybody outside and inside wants to talk about that capture metric, I just keep looking at the one that matters the most to me.
Paul Cheng: Thank you.
Mike Hennigan: You’re welcome.
Maryann Mannen: Hey Paul, it’s Maryann. I just might try to add a bit more around some of the things that we are doing specifically around commercial performance without necessarily trying to give you a percentage. But we have been talking over the last several quarters about the capabilities we have built regionally, obviously, at Houston office and Singapore office or London office. That has helped us. That was laughingly saying to Mike about cracking the code on linear programming. But some of the capabilities that Rick and Brian and their respective teams have built historically give us very robust tools and data analytics that allow us to assess the decisions that we have made and know how good or bad those decisions were and what we might do with that to change it. So, it is building. These capabilities are building sustainable learnings and capabilities in the organization that we think will continue to drive our performance. I hope that’s a bit more helpful, too.
Paul Cheng: Absolutely. Thank you, Maryann.
Operator: Next, you will hear from Roger Read with Wells Fargo. You may proceed.
Roger Read: Yes. Good morning. Congratulations on the quarter.
Mike Hennigan: Thank you, Roger.
Roger Read: Maybe just if we could address the changes here on the management team and whether or not that, what’s in – what it does portend about the future? I know, Mike, you are approaching the point at which the Board has to make a decision to extend if I understood correctly from the meetings back in late November. So, anything you can offer us up on any updates there?
Mike Hennigan: Yes. Roger, I will start off with, the changes are driven by two things. Results, one of the things that I feel my responsibility is to reward the results that we are getting because the team has done a very nice effort across the whole team. And the second part is development, putting people in positions such that they grow more personally so that they can contribute to the team. So, both of those factors, I think played into a lot of these assessments that occurred at the executive level, but it’s also occurring below that and not everybody gets to see. So, I am a big believer in the team approach, practically all decisions that we make, all of our team is involved in. So, there is a heavy component of development on top of the results that have occurred in the last couple of years. As far as me, personally, I think you have heard in the past, that’s a Board decision. The Board is very aware of that. That will play itself out in time. But Board’s, if it’s not their top priority, it’s obviously at the very top of the first couple is what their responsibility is. So, that’s just work in progress. It’s been in progress for quite some time, and it will play itself out as time goes by.
Roger Read: Okay. And then my other question was to follow-up a little bit on the balance sheet question, I think that I get asked about in debt-to-cap guidance given. But if you keep buying shares back, theoretically it could end up shrinking the equity side, which could get you to the 25%, even if you held debt flat. So, one of us can predict the future exactly where all this will shake out. But would that sort of math imply that you could actually end up staying at the same debt level? In other words, simply refinance the debt, implying that all the cash that’s on there would be eligible for share repurchases or some other sort of return to shareholders, and that’s the right math to follow?
John Quaid: Hey Roger, it’s John. You read through my subtle comments very, very well. And certainly, the other part of that equation, right, is what we are doing on the equity side. So, that was my comment, hey, we think our gross levels of debt are appropriate as we look forward, because that will be part of the math. We will take a look at that, but I think you are pretty spot on. I am not sure I can add much from what you said to be honest.
Mike Hennigan: Roger, the other thing I would add is – I am sorry, I just wanted to just add. As a general rule, my belief is we don’t want to be under-levered. We don’t want to be over-levered. We want to find what we think is the appropriate level. And we think we have been there and we have been consistent there. And that’s why people should read into our cash position as that’s going to be targeted for return to shareholders. I think our job is to generate the most cash we can, run the balance sheet properly, which we have done over the past, and then at the end of the day, return excess capital to shareholders.
Roger Read: Thanks.
Mike Hennigan: You’re welcome.
Operator: Thank you. Our next question will come from John Royall with JPMorgan. Your line is open.
John Royall: Hi. Good morning. Thanks for taking my question. So, I just had a follow-up on the balance sheet. You had another strong quarter for the buyback of $2.5 billion. But with the crack environment turning down, you did end up drawing almost $3 billion of cash. And despite the big maintenance coming up in 1Q, it looks like January is off to a really healthy pace at $900 million. So, my question is, would you expect to maintain a similar pace throughout 1Q as you progress these turnarounds? And what could that mean for the cash draw and where balances could be at the end of 1Q?
John Quaid: Yes. Hi. Good morning John, it’s John here. I will take that one and let Mike add some other comments as well. But let me just start by saying, as I roll into the seat, I want to be clear, there is no change in how we are viewing return of capital, as you heard even in Mike’s prepared remarks. Again, really strong performance last year, again, as we are looking to drive strong returns to our investors, and that will continue to be a key part of our capital allocation priorities in 2024. And as we look at that, we are going to look at lots of things. One, we want to be opportunistic in the overall capital allocation and we will consider the refining macro environment along with lots of other items, but – and the balance sheet and where it is. But ultimately, I just want to be clear, we are going to be steadfast in our commitment to return of capital.
Mike Hennigan: John, it’s Mike. The only thing that I will add is we think it’s part of our DNA and duty to return capital as part of our mantra. So, we have been saying for quite some time, and we have been fortunate, as you said, the margin environment has been conducive to generating more cash. But we have targeted all along to return that capital to shareholders. We are going to continue to do that. And then again, whatever market environment we get handled, or get handed, I am sorry, we will make that still a priority for us. It’s on our capital allocation priority. We will start off with maintaining the assets, growing the dividend, investing in the business. So, that’s still part of our DNA as well. But at the end, I am a huge believer is, give that capital back to shareholders and then let shareholders decide where they want to invest longer term. We want to be the vehicle where we generate cash and return capital, and as people have seen that over time, that isn’t going to change regardless of what the margin environment is.
John Royall: Great. Thank you. And then I apologize ahead of time to Mike for this, but I do have another question on capture. But the commercial stuff aside, can you help us think about some of the moving pieces in the first quarter? And particularly, how should we think about the impact of the heavy maintenance in the quarter? Is this still a potential to be 100% maintenance, given you have so much maintenance and any other moving pieces that we should think about that might move you away from that 100% either direction in 1Q?
Maryann Mannen: Hey John, it’s Maryann and let me see if I can take that for you and address your question. So, first and foremost, we would say we continue to think for 2024. Our objective is to drive towards that 100%. You are absolutely right in the quarter. As we have said, we have got about $600 million, but we are touching crude units. So, we are not expecting a significant amount of negative impact on our capture, despite the fact that we are seeing that level of turnaround. Now, as you know, we do have variables that impact the capture rate from quarter-to-quarter. But right now, we are not expecting turnaround to have a substantially negative impact on that drive towards 100%.
John Royall: Great. Thank you very much.
Maryann Mannen: You’re welcome.
Operator: Our next question will come from Theresa Chen with Barclays. Your line is open.
Theresa Chen: Hi. I wanted to ask about [Technical Difficulty] including within your own system, which should be constructive for inventories going to summer, but internationally, there is quite a bit of new supply coming online. And one of your competitors has talked about 1.5 million barrels per day number. Would you agree with that? And how much do you think could be realistically utilized?
Rick Hessling: Hi Theresa, this is Rick. I will attack the new refining capacity first. So, we see that coming on later versus sooner. And when I say later, I would say second half of this year and then some over the years, when you bring on new greenfield facilities, which are being brought on, it’s been proven difficult to bring them on in a timely fashion. And these specific facilities like others, we will face challenges with logistics and supply. So, I won’t specifically comment on the 1.5 million barrels, but I will say we believe it will be later versus earlier. And then for the demand piece specifically, certainly, you have seen, as you referenced, utilization even here recently down 7% in the last week due to turnarounds and weather-related events. When we look at that and look going forward, we are continuing to see steady demand. As Mike mentioned in his opening remarks, our export book on gas and diesel has been very solid. It was solid in 2023, and we are off to a very good start in ‘24. So, when we look at all of this together, we see it setting up very well, Theresa, for a very supportive spring and summer season.
Mike Hennigan: Theresa, it’s Mike. I will just add. I mean it’s pretty well documented. I mean last year, oil demand globally was over 2 million barrels a day. I know some of the forecasters are calling it 1 million barrels plus-ish. We will see how that plays itself out for this year. But I think the bigger picture, even though there has been a lot of attention, particularly to these two refineries that are coming up, as Rick mentioned later in the year. The reason we believe it’s more constructive over time is we are still believers in demand is going to continue to rise. And absent this short-term issue with some of the supply coming on, we just see it very constructive where demand is going to continue to outpace, and that’s why we think the margins will stay in an above mid-cycle of the term everybody is using. I think at the end of the day, we will obviously keep a watch out it, and there may be some short-term variations to that. But I think part of the reason that we remain bullish is that if we look over time, we are just big believers in demand is going to stay robust. And on paper, aside from the short-term issue, we don’t see a whole lot of supply response, trying to match that. Hopefully, that makes sense to you.
Theresa Chen: Thank you.
Mike Hennigan: You’re welcome.
Operator: Thank you. Our next question will come from Ryan Todd with Piper Sandler. Your line is open.
Ryan Todd: Great. Thanks. Maybe as a follow-up on that last question, in your prepared remarks, I mean you mentioned that you, what you view as an enhanced mid-cycle environment for U.S. refiners in the coming years. I mean I think you were just talking about some of the broader global supply and demand that I think would feed into that. But can you maybe talk a little bit more about what you view as the primary drivers that uplift the margins, particularly for U.S. refiners. And when you think about the go-forward environment versus go-forward mid-cycle versus past mid-cycle, do you – what sort of uplift can, or do you think about $1 a barrel, $2 a barrel is there, and how do you underpin that in terms of kind of U.S. advantages for you and your system?
Rick Hessling: Yes. Ryan, it’s Rick. So, for U.S. advantages, they are quite significant. Mike touched on early on in his prepared remarks, we have a feedstock advantage here in North America with feedstock at our doorstep, and we have access to crude from around the world. So, we believe that’s a significant advantage. And it’s been very well documented. We have an energy advantage with the U.S. being extremely long in nat gas, and we have cheap nat gas prices. But in addition to that, when we look at our workforce, at our assets and our refinery complexity, when you start layering all of those on top of one another, Ryan, it adds up significantly to an advantage, which is why Mike referenced earlier, we believe in an enhanced mid-cycle. Now, when you think of it from our perspective, this is where our scale really comes into play. So, we run a 1 billion barrel of system, a 1 billion barrel system annually. So, you can pick the number. We won’t give you a number, but it’s easy math. If it’s mid-cycle plus $1, that adds $1 billion to MPC’s bottom line, a $2 incentive or enhancement over mid-cycle, $2 billion. So, that’s where our scale really comes into play. Now, we are bullish because of a lot of the reasons Mike mentioned. Global demand, we believe will hit a record consumption in ‘24. ‘23 was a record, we believe ‘24 will be a record. IEA believes ‘24 will be a record. In fact, IEA continues to revise up their demand forecast month-after-month and have done so for the last three months. In addition, we referenced turnarounds. Globally, turnarounds are high. When you are looking at history and we are set up well here for a strong spring and summer. I hope that helps you.
Mike Hennigan: Hi Ryan, it’s Mike. Let me just add. We don’t pick a number. We do scenario planning, like Rick have gave you some examples. But – so we do scenario planning, what if it’s $2, what if it’s $4, what if it’s $6 and take a look at it from that perspective rather than trying to estimate what the number is. I am a big believer and it’s hard to call the 50-yard line, but if we get the banks of the river we get the two end zones, right. Then we will be able to run the business properly for the long-term.
Operator: And we do have time for just one more question. Our last question will come from Jason Gabelman with TD Cowen. Your line is open.
Jason Gabelman: Yes. Good morning. Thanks for squeezing me in. I wanted to ask about the West Coast project that you disclosed today and a two-part question on it. First, when you referenced the returns, how much – is there a decent chunk of that that’s related to avoided regulatory penalties that you would incur if you didn’t do the project? And then how do you get comfortable with the demand outlook on the West Coast and the potential regulations that can limit MPC’s ability to capture periods where product prices are higher?
Mike Hennigan: So, Jason, on your first part, there is nothing that you said was avoiding costs, however. So, nothing is related to that. So, it’s a – think of it as a reliability project, a modernization project, an efficiency project, a lower-cost project, and reducing greenhouse gas, which we need to do out there. There is regulations out there that are going to occur over time. We could have made the choice to wait until that regulatory requirement was there, but we saw an opportunity to enhance the facility ahead of time. And we have kind of disclosed already, we think there is greater than 20% return there. How do we get comfortable in the overall macro, there is going to be a tough environment for California, if things get more and more competitive out there. But we think we have a very competitive asset. So, we think we are in it for the long-term. We don’t think all the facilities out there will survive the long-term, but as that volatility occurs out there, we want to have a really strong, competitive, reliable, efficient, low-cost facility.
Rick Hessling: Jason, I will just add to that. We believe our integrated system in California is a competitive advantage over the merchant refiner as well. So, when you look across our entire value chain from feedstocks and all the way through to the station level, that’s a competitive advantage over the merchant refinery when you have demand declines.
Kristina Kazarian: Alright. And with that, thank you for your interest in Marathon Petroleum Corporation. Should you have additional questions or like clarification on any of the topics discussed this morning, please reach out and a member of the Investor Relations team will be here to help you. Thank you for joining us.
Operator: That does conclude today’s conference. Thank you for participating. You may disconnect at this time.